Operator: Good morning, everyone. Thank you for standing by. Welcome to Volaris Third Quarter 2024 Financial Results Conference Call. All lines are in a listen-only mode. Following the company's presentation, we will open the call for your questions. Please note that we are recording this event. This event is also being broadcast live via webcast and can be accessed through Volaris website. At this point, I would like to turn the call over to [Rodrigo Martinez] (ph), Investor Relations Director. Please go ahead, Ricardo.
Ricardo Martinez: Good morning, and thank you for joining the call. With us is our President and CEO, Enrique Beltranena; our Airline Executive Vice President, Holger Blankenstein; and our Chief Financial Officer, Jaime Pous. They will be discussing the company's third quarter 2024 results. Afterwards, we will move on to your questions. Please note that this call is for investors and analysts only. Before we begin, please remember that this call may include forward-looking statements within the meaning of applicable securities laws. Forward-looking statements are subject to several factors that could cause the company's results to differ materially from expectations, as described in the company's filings with the United States SEC and Mexico's CNBV. These statements speak only as of the day they are made, and Volaris undertakes no obligation to update or modify any forward-looking statements. As in our earnings press release, our numbers are in US dollars compared to the third quarter of 2023, unless otherwise noted. And with that, I will turn the call over to Enrique.
Enrique Beltranena: Good morning, and thank you for joining us. Volaris third quarter results demonstrate our business model's resilience and commitment to execution. I'm proud to report that Volaris has delivered strong operational and financial results again, marking this our fourth consecutive quarter of net income, while providing great ultra-low-cost carrier service value to our customers. We have strategically streamlined the company during this period, effectively reducing operations by about a quarter of our fleet during our busiest summer season due to the Pratt & Whitney engine inspections. Our team also effectively mitigated external disruptions like weather-related events without a material impact. Despite these challenges, we managed to contain our reduction in ASMs to only 11% during the last 12 months compared to the 2023 levels. Also, we achieved total operating revenue of $3.2 billion in this period, matching the full year operating revenue of 2023, an impressive accomplishment. We're moving forward to the other side of this engine inspections period, paving the way for sustained shareholder value creation, our most important long-term objective. As part of these processes, we are emerging as the preferred airline in our core markets. We often offers, fly attractive schedules promptly and reliably and provide relevant ancillaries that add value to our customers. We also deliver on day of departures itineraries and provide digital solutions to our customers and with a proven safety and security record. As the engine inspections began 12 months ago, I am today pleased to highlight key achievements from these last 12 months. First, reductions in RPMs were consistently lower than those in ASMs, indicating a well-calibrated approach to capacity management. This allowed us to sustain similar load factor levels and protect the demand elasticity of our bus switching passengers, ultimately improving our TRASM. Second, we further unbundled our fares, keeping base fares at 2019 levels while increasing our ancillary revenues as a percentage of total operating revenues from 34% in 2019 to 51% over the past 12 months. This is our business model working to perfection and we are committed to continuing to couple low and stable fares with honest value-adding services. Third, our Net Promoter Score reached 34%, reflecting improving customer recovery and satisfaction. Significant reduction in mishandled bags, better on-time performance, reduced complaints and materially lowering voluntarily denied boardings underscore this improvement. Fourth, our network redesign effectively addressed the challenges of grounded aircraft and enabled an 11% increase in ASMs in the US transborder market versus 2023.We achieved a remarkable system schedule completion rate of 98.5%, while controlling our costs despite the aging fleet and grounded aircraft due to engine inspections. A crucial element of this strategy was sustaining ambassador productivity and labor costs. And fifth, we implemented a fleet mitigation plan that did not increase debt leverage, ensuring we could pursue future capacity additions without jeopardizing market pricing and future aircraft leasing costs. Our financial performance over the last 12 months speaks for itself. Our profitability has significantly improved with an EBIT margin of 14% and EBITDA margin of 34% and a net margin of 6%. We achieved these results by ensuring that the vast proportion of our network remains profitable, generating strong unit revenues and attracting repeat customers who value our low prices. This contrasts us favorably with the United States ultra-low-cost carrier environment and highlights our ability to execute transformative changes swiftly, while maintaining cost control. Notably, around half of our routes compete exclusively against the bus market, allowing us to continue bringing in new flyers without creating excessive capacity growth in key ultra-low-cost carrier markets. While our operating cost structure remains under control, with most costs being variable, we have experienced reduced operating leverage due to aircraft groundings and increased maintenance and redelivery expenses due to our fleet's aging. Both effects are temporary and will not impose structural cost pressures. Our CASM ex-fuel was $0.052 during the last 12 months, keeping us among the three lowest publicly-listed operators worldwide. We believe Volaris is not experiencing a cost convergence with full-service carriers that could structurally reduce our margins going forward. On the balance sheet, our net debt-to-EBITDA ratio improved from 3.5 times in the third quarter of 2023 to 2.7 times in the third quarter of 2024, one of the lowest levels in Volaris' history. This was despite the significant investments we had to make to implement the mitigation plan for the engine inspections we outlined a year ago. The total cash, including short-term investments, stands at $833 million, an improvement of $66 million from the third quarter of 2023. On our third quarter of 2023 call a year ago, despite the engine crisis, Volaris' management made a commitment to our passengers, ambassadors and investors, which I quote, "We would do our best to respond to the challenge and undertake a mitigation plan to manage the variables we could control." Regarding our aircraft on ground, this challenge has only improved as Pratt & Whitney and Volaris gained clarity on how to address the situation, and we continue to coordinate closely with them. The induction slots are within the agreed forecast. Spare parts and materials have been planned as we induct engines into the inspection processes, and we have planned turnaround times together with Pratt based on low, medium and high maintenance needs. All in all, we are seeing an important improvement in turnaround times. However, the situation remains evolving. I acknowledge that the market may have valid and reasonable capacity concerns for next year if engines currently under inspection return earlier than expected. However, I want to assure you that we will not deploy excess capacity beyond what emerging markets typically grow and can absorb. We have structural flexibility that allows us to prioritize profitability over market share. This includes options such as reducing spare engines, minimizing Pratt & Whitney's emergence in leased engines and accelerating the return of aircraft, among other measures. We have a plan. Today, I can affirm that we haven't just overcome challenges. We have evolved as a company. We strongly feel that our reliable performance during crisis, along with evidence that we have been disciplined in the execution of our plan, makes us a good asset and separates us from our peers. As you know, this is consistent with what you know about Volaris, a seasoned and stable management team. Volaris' position as an ultra-low-cost carrier in Mexico is distinct from that of ultra-low-cost carriers in the United States. As the largest airline in Mexico by passenger volume, we enjoy a robust domestic market share and cost leadership over legacy carriers. Moreover, Mexico's unique ability to convert bus passengers and recurring travelers has driven growth in the country's emerging air travel market in the last 15 years. We continue to see plenty of runway for this secular trend. Finally, considering the uncertainty surrounding recent constitutional reforms, I would like to highlight that Mexico's new President, Claudia Sheinbaum, has pledged to protect the investors' right. She took office on October 1, becoming the country's first female leader. Let me quote her, "I say this very clear, be assured that the investments of national and foreign shareholders will be safe in our country." With that, I will now turn the call over to Holger to discuss commercial and operating performance for the quarter.
Holger Blankenstein: Thank you, Enrique, and good morning, everyone. Demand remained strong across our markets during the high season in the summer, underscored by a 90% domestic load factor, up 1.7 percentage points and an 83.4% international load factor, up 1 percentage point year-over-year and 5 percentage points sequentially, as our Mexico US additional capacity matured. Our total load factor was a strong 87.4%, a 1 percentage point increase. These load factors supported our record third quarter TRASM of $0.0938, a 12% increase. Our average load factor of $53, up 9%, and ancillaries per pax at $54, up 10%, remained robust and consistent with the healthy demand we have observed during the year. ASMs contracted 14%, in line with our guidance, and we had a remarkable on-time performance within 15 minutes of 84.3%, with on-time departures rising almost 7 percentage points over our performance in the third quarter of last year. Even with the scheduled impacts of Pratt & Whitney engines, we have diligently managed accommodations, leading to a much lower volume of customer complaints. This is highlighted by an increased Net Promoter Score currently at 37%. During the quarter, we continued to capitalize on strong market trends in the domestic and transborder segments. In our domestic market, we continue to see growing demand from first-time and repeat flyers, driving consistent strength in loads, fares and ancillary revenues. Turning to our international markets, approximately 40% of our total ASMs are currently in this market. Our plan is to shift more capacity to the US-Mexico transborder market, taking full advantage of Mexico's return to CAT 1 status. We have announced new routes and inaugurated several, including Guadalajara to Tulum, Guadalajara to San Jose, Costa Rica, Miami to El Salvador, Tijuana to Las Vegas. In line with our mid-term growth strategy, we have launched our first south-bound leisure routes from Oakland to Cabo and McAllen to Cancun. This marks our first step in expanding our offerings as we leverage our widening cost advantage over North American ULCCs and legacy airlines. Additionally, we are increasing capacity from our core domestic and international stations and connecting capacity to Monterrey. In Central America and South America, we have reduced the number of aircraft allocated to these markets from nine a year ago to six due to our lack of aircraft availability, contributing to more normalized competitive trends in those markets. Over the summer, we saw a pickup in demand response and strong margins in our transborder markets. Beyond the commercial upside, we expect the greater concentration of our network in the United States to provide a critical financial advantage. We expect the structurally higher TRASM, increased US dollar collections and longer sectors to provide a long-term tailwind to our margin mix. On the ancillary side, non-ticket revenue as a percentage of total revenue remains strong and stable at 50%. We continue to innovate and enhance our non-air ancillaries, focusing on customization and promotion strategies. For example, we are consolidating our most relevant offerings, our v.club membership program, v.pass monthly subscription, annual pass and INVEX co-branded credit card into a single affinity portfolio. This offering leverages the penetration of our credit card with 1 million active cardholders and our v.club program, which has also surpassed 1 million active members. Turning to market alliances. Volaris now participates in two international codeshares. Our codeshare with Frontier Airlines has ramped up effectively, and we anticipate it will have an increasing contribution to our full year EBIT. Additionally, we launched a new codeshare with Iberia Airlines in June, providing a small yet valuable opportunity to connect their passengers to the Mexican market without adding complexity to our business model. Turning to our outlook for the rest of the year. Booking trends continue to show strength throughout the fall and the holiday high season. We expect total revenue for the full year 2024 to be closed to 2023, even with a double-digit reduction in capacity. I want to elaborate on Enrique's comment about focusing on profitable markets and how Volaris stands out from ultra-low-cost carriers in the United States. Over the past decade, we have grown rapidly to become Mexico's leading airline in transborder passengers. With our well-known brand and established new network, we use our leadership to drive profitability. Domestically, we can keep fares stable and attract more customers, especially those switching from buses and price-sensitive leisure passengers. Internationally, we now have a balanced network between Mexico and the US. With return of FAA Category 1 status a year ago, we now can allocate capacity based on profitability in any of our markets. In the past, being in Category 2 limited our growth in the United States and led to an oversupply in the domestic market. In the US cross-border markets, where we expect travel to grow in the next decade due to nearshoring, we could offer low prices that United States competitors can't match. We also serve strong VFR markets, benefiting from large Hispanic communities that know the Volaris brand. As we drive preference and loyalty among these communities, we expect to realize benefits from higher margin, repeat and international flying. Overall, the capacity outlook for 2025 is expected to be in the low-to-mid-teens. However, we expect capacity to return to 2023 levels by the second half of 2025. We will remain prudent and rational as we introduce capacity back into the market. Now, I will turn the call over to Jaime to walk through our third quarter financial results.
Jaime Pous: Thank you, Holger. Our third quarter results reflect the strong demand complemented by strict cost control and more favorable jet fuel prices. This discipline resulted in our fourth consecutive quarter of expanding margins and positive bottom line, despite the challenges faced during the year. Compared to the same period last year, our third quarter 2024 results were as follows: Total operating revenues were $813 million, just a 4% decrease despite a 14% reduction in capacity. Our net results were also affected by the 11% depreciation of the Mexican peso against the U.S. dollar. While this trend benefits our unit cost, it is a headwind to our unit revenue, negatively impacting our margins. Given that approximately 60% of our operating expenses are denominated in U.S. dollars, we have targeted 50% of our collections to be in dollars to mitigate our exposure to this dynamic. Additionally, around 90% of our cash balance is held in U.S. dollars. Back to the P&L. The total CASM decreased 1% to $0.0792. Our average economic fuel cost decreased by 17% to $2.64 per gallon, while CASM ex-fuel came in at $0.0539, better than guidance for a 10% increase despite a strong headwind from the reduction in ASMs. This underscores our focus on cost control and give us a competitive advantage in the industry. We reinforce this advantage by implementing aggressive cost management, avoiding expensive wet leases and maintaining an efficient cost structure, with approximately 70% of our costs being variable and semi-fixed. In fact, compared to our United States peers, we anticipate that our cost gap will continue to widen over time in the cross-border market. Our financial differentiation is clear and growing. Despite the AOGs and related cost complexities that began last September, we have maintained one of the lowest unit costs in the world. With this strong quarter results, we expect to be at the top quartile for operating margins on a rolling 12-month basis. Returning to results. In the quarter, we only booked sale and leaseback gains of $2.2 million in the other operating income line related to the delivery of one A320neo. Note, that aircraft grounding compensation from Pratt & Whitney is also included in this line. EBIT totaled $126 million, an increase of over 100% compared to $39 million in the third quarter of 2023 for an EBIT margin of 15.5%, up 11 percentage points. EBITDAR was $315 million, a 52% increase and the highest quarterly level in the history of Volaris. The EBITDAR margin reached 38.7%, a 14 percentage point improvement. As a reminder, both EBIT and EBITDAR include the Pratt & Whitney compensation as well as expenses from leases of the entire fleet, including the grounded aircraft associated with engine inspection. Net income was $37 million compared to a net loss of $39 million in the third quarter of 2023, translating to earnings per ADS of $0.32. Cash flow provided by operating activities in the third quarter was $233 million. Cash outflows used in investing and financing activities were $149 million and $54 million, respectively. Meanwhile, our third quarter CapEx, excluding financed pre-delivery payments totaled $54 million. These investments include the acquisition of spare engines, which are crucial for maintaining business continuity and mitigating disruption to our core operations. Volaris ended the quarter with a total liquidity position of $830 million, representing 26% of the last 12 months total operating revenues. As of September 30, our net debt-to-EBITDA ratio lowered to 2.7 times from 3.5 times at the end of the third quarter of 2023 and 2.9 times at the end of the last quarter. I want to emphasize that we have been consistently deleveraging for the past seven quarters, reflecting our commitment to profitability and disciplined approach to capital allocation. Moreover, we expect to continue deleveraging throughout the fourth quarter, finishing 2024 around 2.5 times. Equally important, we have no significant near or medium-term debt maturities. Moving briefly to our P&L for the first nine months of 2024 compared to the same period of 2023. Total operating revenues were $2.3 billion, a 2% decrease despite flying 15% fewer ASMs over that time. CASM was $0.0802, just a 3% increase, as average economic fuel cost fell by 9% to $2.83 per gallon. CASM ex-fuel was $0.0530, 11% higher, despite the strong headwind from the reduction in ASMs. EBIT was $296 million, up from $58 million for the first nine months of 2023, and EBIT margin was 12.8%, up 10 percentage points. EBITDAR totaled $810 million, a 50% increase with an EBITDAR margin of 35.1%, up 12 percentage points. Net income was an $81 million profit versus $104 million loss for the year ago period, translating into earnings per ADS of $0.70. This was our best result in the first nine months since 2021. As of September 30, our fleet consisted of 137 aircraft, up from 125 a year ago with an average age of 6.3 years. Due to the engine inspections, we had an average of 34 aircraft on ground during the third quarter. We received one A320neo during the quarter for a total of six new aircraft year-to-date from our order book with Airbus. Earlier in the year, we also received two A320ceos under straight operating leases as part of our mitigation plan for the engine inspections. Including these returns, extensions and the return of productive aircraft, we target an average of low-to-mid-teens annual capacity growth for the next few years. In line with our expectations, our CapEx, excluding financed pre-delivery payments totaled $234 million for the first nine months of 2024. As a final note on capital allocation, this quarter, we expanded one of our pre-delivery payment facilities. Volaris now has financed PDPs that cover our expected deliveries through 2027. Before concluding my remarks, I will address our updated guidance. While our overall outlook for the year remains unchanged, we are pleased to once again raise our full year EBITDAR margin as we continue to exceed expectation and expect to benefit from more favorable jet fuel prices for the remainder of the year. For the fourth quarter 2024, we are expecting an ASM reduction of approximately 7% year-over-year, TRASM of around $0.096, CASM ex-fuel of approximately $0.055, and an EBITDAR margin of around 39%. Our fourth quarter 2024 outlook assumes an average foreign exchange rate of MXN20.3 to MXN20.5 per US$1 and an average US Gulf Coast jet fuel price of $2.2 to $2.3 per gallon. Based on our fourth quarter guidance, we now anticipate a full year ASM reduction of approximately 13% year-over-year compared to our previous guidance of 14% decline. Additionally, we are raising our full year EBITDAR margin forecast to around 36%, up from our prior range of 32% to 34%. Lastly, we continue to project CapEx net of financed pre-delivery payments to be approximately $400 million. On a final note, we took advantage of the declining jet fuel prices in September by securing tactical hedges for the high season months of November 2024 through January 2025. We have hedged approximately 30% of our projected fuel consumption for this period using Asian call options linked to Gulf Coast jet fuel with an average strike price of $2.25 per gallon. To be clear, if the spot Gulf Coast jet fuel grows above $2.25 per gallon, we get the benefit of the hedge, but if it goes down, we capture the full downside, net of the premium paid in September. Now, I will turn the call back over to Enrique for closing remarks.
Enrique Beltranena: Thank you, Jaime. Before we begin Q&A, I want to call attention to Volaris' integrated annual report for 2023, which we recently published on our investor website. Last year, we navigated numerous headwinds, including the government-mandated slot reductions at Mexico City International Airport, the prolonged category second downgrade and the onset of the GTF engine inspection. We financially overcame these challenges and maintained our commitments to our ambassadors, passengers, communities, investors and the environment, meeting the best corporate governance practices. While I will not discuss our corporate sustainability strategy in depth on this call, I would like to note that multiple stakeholders have recognized our platform on sustainable practices in business and aviation and how this effort has uniquely created value. I invite you to review our integrated annual report to learn more about Volaris' initiatives for corporate development, climate protection and long-term sustainability. Thank you very much for listening. Operator, please open the line for questions.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Duane Pfennigwerth from Evercore ISI. Your question, please.
Duane Pfennigwerth: Hi, thank you. Good morning. Can you help us think about the shape of capacity into the first quarter and the first half of 2025? You've given us a preliminary view on the year, but I wonder if you could speak to how you expect maybe to start the year from a growth perspective in the first quarter.
Jaime Pous: Thanks for your question. So, we are finalizing our operating plan, but we're looking at growth in the mid-teens for the first half of 2025, approximately. And that's still a little bit under discussion depending on the situation at Pratt & Whitney and Airbus.
Duane Pfennigwerth: Okay. So, that would be a reasonable assumption for the first quarter?
Jaime Pous: Yeah, that would be a reasonable assumption.
Duane Pfennigwerth: Okay. And then with respect to the new administration, I know it's only been a few weeks here, but any early view on how the relationship may be changing? Any new policies you care to highlight?
Enrique Beltranena: Duane, this is Enrique Beltranena. To be honest with you, we have recently met the new authorities, and we expect, to a certain extent, some continuity on the aviation policies as the same party is basically heading the government. We have established a close communication and interactions with the new authorities. And we have conveyed the need to continue promoting the healthy development of the sector. We have secured the level-playing field among all industry participants. We have strengthened and modernized regulators. We think we can facilitate access to competitive inputs. And finally, consolidate the Mexico City metropolitan airport system, among other priorities. Those are the topics that we have on our agenda with the conversations that we have with the recent government, and this is what we expect.
Duane Pfennigwerth: Okay. I know it's early, so appreciate the thoughts. Thank you.
Operator: Thank you. And our next question comes from the line of Mendes from JPMorgan. Your question, please.
Guilherme Mendes: Hey, good morning, guys, and thanks for taking my question. Can you help us think about the recent FX depreciation in Mexico, the ability that the company might have to pass it through into fares? And Enrique, one follow-up on your comments about the new administration. You mentioned about the Mexico City hub. Any views if the slots restrictions could change anytime soon? Thank you.
Jaime Pous: Hello, Guilherme, this is Jaime. I will answer first the question on FX, and then I pass it over to Enrique for the political questions. On FX, Guilherme, as you noticed, as we increase the network to the US in the cross market, we are now at 41% collections in US dollars. Our goal is to increase that to 50%. And in addition, we invest 90% of our cash balance in US dollars. We have a natural hedge based on the company since our cost expense is 60%. So, we are basically naturally hedging the FX impact on our business. I pass it over to Enrique.
Enrique Beltranena: This is Enrique Beltranena. Speaking about the reactions of the new government in terms of the metropolitan airports, what we saw yesterday in a meeting that we had with this Under Secretary of Transportation is that the general in charge of the agency regulation said that there are a lot of pressures in terms of changing the slots and the number of slots in Mexico City and that they don't think it's going to happen. And the second thing that he stated is that they expect to continue doing what they have done during the last six years in terms of number of slots and the way they are managing the system, except for the discussion of the new regulation that has been discussed and proposed that it's probably going to be approved in the following month or a-month-and-a-half.
Guilherme Mendes: Okay. Very clear. Thank you.
Operator: Thank you. And our next question comes from the line of Stephen Trent from Citi. Your question, please.
Stephen Trent: Good morning, gentlemen, and thanks very much for taking my question. Sort of a follow-up first off. Jaime, I think you said 50% of collections and 90% of cash balances are in US dollars. As we think about what those numbers might look like long term, do you think they stay around that level or maybe they possibly tilt further towards the dollar?
Jaime Pous: Hello, Steve. Today, we are at 41% collection in US dollars. We aim to increase that to 50% next year based on the network that we are planning to grow into the international markets. And we keep to maintain the way we invest the money, always above 90% in US dollars.
Stephen Trent: Perfect. I hadn't heard you correctly. Appreciate the clarification. And just a quick follow-up question. I definitely appreciate half of the routes you serve are bus routes. Do you think with the cross-border growth, some of the future growth could come from international bus routes in places that you serve, like McAllen, for example?
Holger Blankenstein: Stephen, this is Holger. We currently already operate many routes that are niche routes that operate into the US. Think about Guadalajara-Reno, for example, which is a route that is a VFR niche route that passengers typically used the bus previously and now fly with us. And we continue to see opportunities in our VFR core in the US as we move along. We have started two routes in the southbound leisure segments where American tourists go to the Mexican beach destinations. And that is a major opportunity going forward as we grow the company.
Stephen Trent: Great. Thanks very much.
Operator: Thank you. And our next question comes from the line of Thomas Fitzgerald from TD Cowen. Your question, please.
Thomas Fitzgerald: Thanks very much. Can you help us think about the other operating income line in 2025? Do you think that will be lower than it is in '24?
Jaime Pous: Hi. This is Jaime, Thomas. It will be a little lower because we expect this year, as you know, we are around 34 aircrafts average during the full year down to the engine inspections. That number should go down to 30, 31. So that line, we will have a similar percentage down trade next year.
Thomas Fitzgerald: Okay. Thanks. That's really helpful. And then, would you mind just giving some color on how bookings and fares are looking for early 2025 in some of the US and the Mexico routes that you've been discussing? Thanks again for the time.
Holger Blankenstein: So, this is Holger. We're looking at pretty solid bookings into the fourth quarter as we approach the high season in November and December. Typically, we see a strong performance in the cross-border market, in our VFR core markets. So, we see a healthy fare environment and healthy demand environment in those markets. And we believe that this trend is going to continue into the first quarter of 2025. The additional capacity that we added into the transborder market earlier in the year is maturing well. We saw good results in the summer season, and that capacity is coming to full maturity in the fourth quarter 2024.
Operator: Thank you. Our next question comes from the line Rogerio Araujo from Bank of America. Your question, please.
Rogerio Araujo: Hi, guys. Thanks for the opportunity, and congratulations on the results. I have a couple here. The first one is, what were the main surprises to Volaris as the company has guided a margin last quarter, but delivered higher margin than previously thought? Do you judge those items as sustainable going forward? This is the first one. And the second, if you could give us an update, if there was any change in terms of timing expectations for Pratt & Whitney engine recalls? Anything you could share here would be useful. Thank you very much.
Jaime Pous: Hi. This is Jaime. On your first answer, I think the surprises were the fuel price and better TRASM than we budgeted. And can you repeat the second question, please?
Rogerio Araujo: Sure. No worries. Yeah, thank you very much. And do you see any changes on Pratt & Whitney engine recall expected timing? If all the information you provided last quarter, if all those remain, or if there was any change on how you're seeing the timing for the engine recalls?
Enrique Beltranena: Rogerio, this is Enrique Beltranena. We have seen good progress and the overall wing-to-wing time, including inductions and turnaround at the shops has been a significant reduction, I would say, from 350 days previously now to closer than to 300 days. Currently, we have, I would say, a strong pipeline with multiple engines undergoing various stages of maintenance. Several more set to enter the process before yearend also. And all these inductions are confirmed with materials and spare parts ready for repairs. As a result, the outlook for engine redeliveries over the next six months is looking very solid and reliable and very, very comparable with what capacity we'll be stating for the first semester of next year once we finish our operating plan and our budget process towards 2025.
Rogerio Araujo: Perfect. Thanks very much.
Operator: Thank you. And our next question comes from the line of Jens Spiess from Morgan Stanley. Your question, please.
Jens Spiess: Yes, thank you. So, I have a question on the profitability of international -- your international routes versus domestic. If I understand it correctly, as capacity returns, you will be prioritizing international routes. And assuming the peso stays around the current level, like on average, how is the profitability of those international routes versus domestic currently? And also, could you please clarify, I didn't get the hedging, for how long have you hedged 30% off your fuel needs? Thank you.
Enrique Beltranena: So, on the route profitability, domestic versus international, we typically don't break that down, but we can tell you that growth is going to be rather balanced next year between domestic and international.
Jens Spiess: All right.
Jaime Pous: This is Jaime. On the hedge questions, what we hedge is what's 30% of the consumptions of the months of November, December of this year and January of next year with Asian calls with a strike price of $2.25.
Jens Spiess: Okay, perfect. So basically, the next three months, and -- okay, perfect. At the same price, right $2.25?
Jaime Pous: Correct.
Enrique Beltranena: If I may, this is Enrique Beltranena, again. I acknowledge very well your concern about deploying capacity in the future and combining capacity returning from Pratt & Whitney and additional capacity for Airbus new deliveries, but I want to reiterate that we will make decisions based on profitability, not market share, and we will remain prudent and rational as we reintroduce the capacity to the market.
Jens Spiess: Perfect. Very clear. And if I may, just one follow-up. You mentioned that you expect to continue with the mix of international versus domestic as you redeploy capacity, but then how will you raise your revenue mix from 41% to 50%? That's what I'm struggling to square.
Jaime Pous: So, it's going to be due to a maturing of the routes that we added to the -- this year, the capacity that we added this year to the US market, to the transborder market, and additional frequencies and routes and destinations that we're going to open next year into the US. Also, one important point to mention is that the ancillaries on the international markets are typically somewhat higher than domestic, and that also drives an improved TRASM performance.
Jens Spiess: Okay. Perfect. Thank you.
Operator: Thank you. And our next question comes from the line of Michael Linenberg from Deutsche Bank. Your question, please.
Michael Linenberg: Hey. Question to Jaime. I know you answered the question for 2025 as it relates to the other operating line. Fourth quarter, should we assume roughly 34 airplanes on the ground?
Jaime Pous: Yeah. I think for the fourth quarter, it's better than the third. We expect to have around 32 aircrafts average, on the ground. As you know, Michael, that line is basically flat compensation. Year-to-date, we have only booked sale and leaseback gains for $18 million.
Michael Linenberg: Okay. And then sort of related to that, I know last year, a lot of times, the fourth quarter is usually a time when we see airlines decide to extend leases. And so, in some cases, we do get a credit in the redelivery line. I know we had that last year in the fourth quarter. Is there going to be something impacting the fourth quarter this year with respect to the redelivery line? Could that actually be a credit rather -- or a reversal, I guess, is maybe the way I'm saying it?
Holger Blankenstein: No, Michael. We did all of the extensions of 2025 in the fourth quarter of last year and the first Q of this year. So, when you compare '23 to '24, you're going to see that notice. So, the variable lease on engine line will be on the historical level without any one-off.
Michael Linenberg: Okay. Great. And then just one quick last one. Just to Holger, on some of these new markets where you're targeting leisure customers, and yet when I look at the cities, there still may actually be surprisingly a VFR component there. Is it possible that some of these new southbound markets, the split rather than being 100% leisure, could it be something more like 85-15? Your thoughts on that? Thank you.
Holger Blankenstein: Michael, absolutely. Obviously, we're going to target markets where we already have a presence, and there is going to be a mix of customer profiles. Absolutely.
Michael Linenberg: Very good. Thank you.
Operator: Excuse me, this concludes today's question-and-answer session. I would now like to invite Mr. Beltranena to proceed with his closing remarks. Please go ahead, sir.
Enrique Beltranena: Thank you very much, operator, and thank you very much to everyone listening in this call. As always, I want to thank you to our family of ambassadors, obviously, to our Board of Directors, and you the investors, bankers, lessors and suppliers for your commitment and support. I really look forward to addressing you all again for our full year earnings in a short period. Thank you very much, and I wish you a Merry, Merry Christmas.
Operator: This concludes the Volaris conference call for today. Thank you very much for your participation, and have a nice day.